Sandra Åberg: Good morning, and welcome to Essity's presentation of the Q2 results. My name is Sandra Åberg. I'm Head of Investor Relations here at Essity. We will begin with a summary of the key business highlights from our CEO, Ulrika Kolsrud, followed by the financials and a closer look at the key metrics presented by our CFO, Fredrik Rystedt. After that, we will have a Q&A session where you will have the possibility to engage directly with us. [Operator Instructions] With that, let me hand over to our CEO, Ulrika. Welcome.
Ulrika Kolsrud: Thank you, Sandra, and welcome also from my side to this presentation. And we can summarize the quarter with that we delivered a positive organic sales growth and the result of SEK 4.7 billion. And the fact that we have this stable development in a quite challenging market environment is a testament to our resilience and to the strength of our broad portfolio of essential hygiene and health products. The organic sales growth that we delivered was close to 2%, 1.9% to be precise, and primarily driven by a strong pricing performance. We also grew very nicely in our strategic categories and segments, such as Feminine Care, Incontinence Care Retail, Wound Care, Lymphology, Tork PeakServe and Tork Skin Care. And it's promising and encouraging that the focus and investments that we put behind driving higher-yielding segments is paying off. On the other hand, we also, in some of our segments and categories, experienced a lower demand in the quarter, as customers and consumers are constraining their spendings following the weak economic climate and the global uncertainty that we see. And that resulted in limited volume growth. Looking at our profit margins or at our margins first, because we can talk about our gross margin first, that was on a very high level, actually on a record high level. The limited volume growth and the increasing SG&A costs though impacted our profit margins. So the 13.7% adjusted EBITA margin, that is a decline compared to the same quarter last year, but a sequential improvement compared to previous quarter. A highlight of the quarter is the strong output that we had from our innovation pipeline, as you will see now when we move into the different business areas, starting with Health & Medical. Now Q2 '25 marks the 17th consecutive quarter of growth for Medical Solutions. So also this quarter, we were growing Medical Solutions, not the least in Wound Care. We also had good growth in our Incontinence Care business in many markets. There were some markets, though, where we had more challenging market conditions. One example is in the U.K. where lower cost competition gained ground. Another example is in Colombia, where the government has been restricting funding to health care. Here, it's important to remember, though, that we have a quite unique advantage that we are present with Incontinence Care across the different channels. So if a patient does not get a TENA product through health care, then he or she can actually then purchase the product instead in the retail channel, and we pick up some TENA volumes there instead. The underlying market growth or the underlying demand continues to be high in all of our categories across Health & Medical. And we continue to execute on our strategy, which is to market holistic solutions that are providing good quality care at the lowest possible total cost for our customers, while also making sure that we have offers for those customers who choose to buy the cheapest product per piece. Then we also continuously, of course, upgrade our assortment and make sure that we have products that are relevant for everyone. So in this quarter, we extended our bariatric range in the U.S. with sizes 3XL and 4XL, which demonstrates that we indeed provide products for everybody and everybody. Moving to Consumer Goods. One of the highlights of the quarter was our good growth in Feminine Care. We are strengthening positions in many markets, to mention a few, Mexico, U.K., Australia. Also here, it's important to have products for different income levels and give us the pricing flexibility and so on. So here, we introduced a tiering approach in the quarter. And the product bodyform Ultimate is coming on shelf in the U.K. as we speak. And it's designed for heavy flows and allows us to trade up consumers to higher-value products. Another highlight in the quarter in Consumer Goods was the strong growth we had in Incontinence Retail, not the least in TENA Men. This is a very attractive segment for us. One out of 4 men over 40 experienced some kind of urine leakage and only 5% to 7% are using purpose-made products. That's quite a potential. And we are putting ourselves in an even better position to capture that potential by doing a facelift of our TENA Men range that we did in this quarter. So we upgraded the packaging, and we also made -- put some even stronger claims on the packaging to make it even more appealing and relevant for this target audience. The low light in the quarter was the continued weak development in Baby Care. So here, we are impacted by the low birth rates that we see, but also by continuous very high competitive pressure and an increasing price sensitivity among the consumers. We are responding. We are responding by accelerating and gearing up our promotional pressure and also, of course, to upgrade our products. So we are launching in this quarter an upgraded product with softer leg cuffs. So we are making sure that we are as sensitive as possible to the delicate skin of those little ones. Also, I think interesting news is that we gained another contract with Amazon in the quarter that is kicking in, in Q4. In Consumer Tissue, we experienced good growth in the low-tier, mid-tier segments. And that is again showing that consumers are getting more price sensitive with the inflation and also with the increased cost of living. So important for us in Consumer Tissue is to make sure that we adapt our assortment to be as relevant as possible and as competitive as possible in all the different tiers along the good, better, best spectrum. If you remember, last quarter, we had 2 launches in the value segment. And this quarter, we are upgrading our premium segment, specifically our Just 1 product, and we are then extending the coreless technology to this product. And I must say this is a personal favorite for me. As a consumer, not to have to deal with any waste when you change bathroom roll, then that is just wonderful, totally hassle-free. Before leaving Consumer Goods, I do want to share one more achievement since it's quite new news, and that is that we were recognized by the Cannes Lions International Festival of Creativity, commonly known as the Oscars of the creative industry. We won 7 Lions for our groundbreaking work on brand building in our Feminine Care category. And now you might wonder, why is that important? Well, it is important because we know that progressive and emotional brand campaigns are impactful, and impactful brand building is an indicator of future growth. Moving to Professional Hygiene. Here, we experienced a lower demand, especially in the hotel and restaurant sector in North America. So consumers are just restricting their discretionary spendings, and we can see that. We follow some indicators here. For example, we can see that the restaurant foot traffic has declined by 3.5% in beginning '25 compared to last year. We can also see that the hotel occupancy rate is slightly lower than previous years. And those type of indicators is telling us something and that we also see in our sales. This is mostly North America, but we can see some tendencies to that also in Southern Europe. That market dynamics in combination with that, we have lost some contracts due to price pressure led to that we had declining volumes in Professional Hygiene. However, we were growing strongly in our strategic segments, which is very important. And that we could also see in a favorable mix in the quarter. We also delivered positive organic sales growth here because of that mix, but also because of very good pricing discipline. And going forward, we will continue to be disciplined with pricing. However, we will have to adjust selectively in order to fuel volume growth. We're also working top to top -- in top-to-top joint business planning with our main distributors to continue to intensify our sales activities. And also here, of course, innovation is an important element to fuel growth. In this quarter, we had some different innovations. The one I want to mention is Tork Matic, where we -- that is one sensor dispenser, I should say, first, for hand towels. And here, we extended the battery lifetime to 6 years. Previously, it was 1 year roughly. And that is setting a new standard in the industry and important for our end customers that then don't have to spend as much time on maintenance. And in fact, this -- the battery lifetime is a barrier for customers to use automatic sensor -- automatic dispensers. And that is, of course, a barrier that we then removed. Then if we continue with innovation, also on Tork, we have the coreless functionality. And you might remember the product that we launched in '24, Tork OptiServe Coreless. And this has been very well received. Now some customer wins stand out more than others, and we are so proud to now have Tork present at the Yankee Stadium. And speaking about prestigious wins, again, this quarter, we were recognized for our sustainability performance. For the sixth consecutive year, we got awarded by the nonprofit organization CDP for our leadership in sustainability, specifically for how we engage and work with our suppliers in our climate action. We were also confirmed as a constituent of the FTSE4Good Index Series. So some strong recognition for our sustainability performance. And with those positive news, I think it's time to hand over to Fredrik so that we can listen to the figures behind this performance. Over to you.
Fredrik Rystedt: Thank you so much, Ulrika, and I'll be happy to share a little bit of financial information relating to the second quarter. So I'll actually start with our sales and how that's developed in the quarter. And you've touched upon it. We actually did grow organically with just close to 2%. So if you look at this in constant currency, our net sales increased with about SEK 700 million. Now of course, obviously, Essity, we have most of our net sales and most of our profit, obviously, outside of the country of Sweden. And since the Swedish krona has strengthened quite considerably, there is lots of translation impact. So if you look at that in nominal terms, you can see that we had a contraction of our net -- reported net sales of just over 6.5%. Now if I stay on the organic sales development for a second, and I'll start there with volume. We did have a positive volume growth of 20 basis points. And I'll go through business area by business area because there were certain differences, actually quite large differences. And starting with Health & Medical, Ulrika, you mentioned it. We had the 17th consecutive quarter of good growth in Medical and especially there on Wound Care. So really very encouraging development and continuing to be that. That was not the case when it comes to Incontinence. Some of you may remember that in Q1, we also had a low volume development. And this was largely attributable to prebuying in Q4 of last year. So we were actually counting on that volumes would come back here in Q2. And to a degree, that actually also happened. But just as you mentioned, Ulrika, we saw some increased price sensitivity, some increased competition in some of our markets. And clearly, this led to a negative volume development for Inco in the quarter. And if we look forward, we'll see -- that's at least our estimate, we'll see volumes pick up. But of course, it is, for the time being, a little bit challenging from a market perspective. So moving on to Consumer Goods, really strong, and we have seen that now for quite some time, both for Incontinence Retail and for Feminine, a super good growth in terms of volume and also for net sales in total. So all in all, very good. And this is not just isolated to one geography, it's all of our markets. So continuously a very good development. We also did see some volume growth in Consumer Tissue, mainly in the good and the low segments, as you alluded to. And of course, as we had also in Q1, our main struggle is related to Baby. And we saw another quarter here of quite weak volumes and also weak pricing. So generally speaking, Baby is a problem. We have put in place a number of initiatives, and we will take a lot of action here as we go forward. But clearly, it was a disappointment with volumes in Baby in the quarter. So if I move on then to price and mix, you can see it's really strong. And if you look at the number, there 1.7%, this is all related to price. And we had increases of prices basically in Consumer Goods and also Professional Hygiene, really good development there and flat also in Health & Medical. And this is not just isolated temporarily to this -- or to the full year, we also saw a sequential increase of our prices with roughly 0.3%. So price management continues to work actually really, really well. Now we will see a little bit of selective price action, as you talked about, Ulrika, in coming quarters. But generally, our price management remains quite strong. So I'll move on then and talk a little bit about our EBIT margin -- EBITA margin. And sequentially, we did increase our margin from 13.5% to 13.7%. But as you can see on this slide, if we look at the full year and compare to last year in Q2, we dropped our margin with approximately 1%. And you can see that Consumer Goods increased the margin, which was really helpful, and we saw a contraction when it comes to Professional Hygiene and Health & Medical. What is very, very strong, and this is important to point out, we saw another increase in our gross profit margin with, as you can see here, 20 basis points, and this is despite a very significant increase of COGS. So if you actually look at our COGS number in margin terms, it had a negative impact of roughly about 2%. I'll come back to that in a second. But actually, if you look at that 2% margin impact -- negative margin impact, we compensated it fully basically all in price. So we have said this many times, we are able to compensate movements or raw material -- negative raw material movements, as an example, through our pricing. So our pricing power remains very strong. And so a very good thing with gross profit margin. Now COGS, those of you that listened to our quarter call or closing after Q1, you will remember that we guided for sequentially flat cost in terms of COGS, and this was also the case. But if you look at it year-on-year, you see still a very significant increase. And this is mainly coming from basically raw material, you can say, distribution and those are the main things. But included in that negative is also tariffs. And we talked a little bit about tariffs, although not quantifying it. And having now seen this for the entire second quarter, we have an impact margin-wise of roughly 0.3%. It's not evenly spread. So it's much more for particularly PH, 0.6%; and Health & Medical was 0.5%; and much less in Consumer Goods. But overall, for the group, 0.3%. So these were the negatives in COGS: raw material, distribution and tariffs and the positive energy and, of course, also savings that we had in the quarter. So if I move on then to A&P, we actually marginally increased our spending in A&P, not a lot, but clearly actually lower than what we saw in organic sales growth. So the margin contribution there, as you can see, was positive. And this was not the case for SG&A. If you look at SG&A in constant currency and SG&A, what I mean by that is SG&A, excluding A&P, you can see an increase of a bit over 7%. So quite considerable. And roughly about 2/3 of that relates to personnel cost and the rest is relating to IT. Now none of that is unplanned. All of these are things that we have planned, expansion of our -- or implementation of our new IT platform or other sales supporting activities. So it's not unplanned. It's just that when we have a low growth and a low volume growth, in particular, cost absorption becomes much less, and therefore, the margin impact is not favorable. And here, of course, we will make sure, as we go forward, that the cost growth is contracted in future quarters. So this is probably a reasonable opportunity to provide you with a little bit of guidance for the coming quarters, so Q3. And as usual, we do this sequentially. So when I mention numbers now, please bear in mind, this is Q3 versus Q2. So if I start then with COGS, we expect that to be somewhat lower sequentially, somewhat lower. We expect part of that coming from raw material, a positive raw material impact and savings picking up a bit. So somewhat lower sequential COGS. And speaking of that savings, we are actually guiding, and you will remember this, SEK 500 million to SEK 1 billion for the full year. We still guide for that range. But so far this year, savings have been a bit lower, and this is due to perhaps a bit lower volumes than expected. So if anything, it's more likely that we'll see cost savings to be -- COGS savings to be in the lower part of that range. But we remain with the estimate of SEK 500 million to SEK 1 billion. So if we look at then A&P, we will increase there, both in absolute terms and in relation to sales as we go forward. It's not going to be material, but you'll see some increase. And when it comes to SG&A, sequentially, we expect it to be flat. So obviously not increase from the level that you see. So I'll leave EBIT margin -- EBITA margin there, and I'll move on to cash flow. And here, we saw an operating cash flow of SEK 1.5 billion approximately. And this is a bit lower actually than what you would expect from a second quarter. Those of you that know us well, you always know that we are typically relatively weak on cash flow in Q1 and Q2 as we build working capital. So this is not unusual. We do this every year. But we saw a little bit of increase in accounts receivables and also to a degree in inventory that was a little bit higher than what was usual. When it comes to the working capital buildup, we believe this is temporary. We will adjust our inventory levels. They normally do go up in the second quarter, but they've gone up a little bit too much. So we'll make sure we adjust that in coming quarters. When it comes to accounts receivables, this is more related to phasing. So we will see that picking up in -- also there in coming quarters. When I look at net cash flow, Q2 was much lower than last year. This is technical. This has to do with the fact that in 2025, we paid our dividend in the second quarter, whilst in 2024, we paid our dividend in the first quarter. And we also had much higher share buybacks in the second quarter than we did last year. So with this said, and on the back of this cash flow, we have a slight increase. If you look at the net debt numbers here on this slide, you can see that our net debt is increasing, but we still obviously remain very strong when it comes to financial strength. And with those words, Ulrika, I'll leave back to you.
Ulrika Kolsrud: Yes. So let's summarize the quarter again. We delivered positive organic sales growth and a stable profit in spite of weaker volume development than we expected in a challenging market environment. And we are especially pleased with the strong growth of our strategic segments and with the high pace of innovation that we have delivered in the quarter. When it comes to profitability, it was stable, but impacted by the lower volume growth and an increase in SG&A costs. And that brings me to the priorities for the rest of the year. We will continue to execute on our strategy and have specific focus on measures to reduce our cost level and to accelerate volume growth -- profitable volume growth, of course. That was all for me.
Sandra Åberg: Thank you, Ulrika; and thank you, Fredrik. Now we will move into Q&A, and Ulrika and Fredrik will join me here. [Operator Instructions] With that, are we ready to get started? We have a list of questions already.
Ulrika Kolsrud: Yes.
Sandra Åberg: Yes. So let me welcome Niklas Ekman, DNB Carnegie.
Niklas Ekman: Can I start with a question on volume growth? As you mentioned, very low volume growth here in Q1 and Q2. Can you tell us a bit more about efforts that you're doing here to restore volumes and particularly here the problems in Health & Medical? I had trouble understanding how much of this did you see as maybe temporary problems and how much of this is more structural or at least cyclical? If you can start in that end, please.
Ulrika Kolsrud: Yes. I think there are 2 aspects, of course, irrespective of which category we talk about, one is the market development as such. And that is quite difficult for us to judge what will happen in the market environment, for example, in Professional Hygiene in the hotel and restaurant sector. But we are, of course, focused on the things that we can influence. And then we're working on in -- across our categories with increased sales activities, strengthening our marketing campaign plans. And also what I was alluding to in my presentation that we focus a lot on making sure that we are competitive also in the low mid-tier segments of our assortment so that we have a competitive offer in all along the spectrum of good, better, best. Speaking about Incontinence Health Care specifically. There are a lot of moving parts. I mean, we have markets where we are growing very nicely, as I said, and we have also gained some contracts that will kick in later in the year. And then we have some markets where we do have specific challenges. And if we look at that altogether, most of it -- most of the decline that we have seen is temporary. So as Fredrik was saying, we expect a pickup in volumes in Incontinence Care.
Niklas Ekman: Very clear. And you mentioned here in the results statement, you talk about a need to lower cost and increase efficiency. And can you give any examples of this? And is this part of a larger program or is it just included in the guidance of SEK 500 million to SEK 1 billion in savings?
Ulrika Kolsrud: Yes, there are 2 different aspects. One is, of course, the cost save program that we have on COGS, the continuous work we have to reduce our COGS levels. And there, we had a lower performance in the beginning of the year, but we have very strong plans moving forward. So there, we expect to come in between SEK 0.5 billion to SEK 1 billion, as we have talked about previously. Then what I was talking about in my CEO comment was rather the increasing SG&A costs and the fact that we have a limited volume growth in combination with the weak economic climate, then it's quite clear that our SG&A costs are increasing too fast. As Fredrik was talking about, we do not have the volume growth to absorb those. So we need to take measures to reduce our cost level. We have not launched any cost program, but we believe that we can reduce costs by increasing the focus on this across the organization. I cannot rule out that we will take other measures as we move forward.
Niklas Ekman: Very clear. And just a final question. You've been CEO now for 1.5 months. Can you tell us some initial learnings here in your new role? And what would do you -- what would you expect would be your main priorities in the year ahead and maybe how that differs compared to your predecessor?
Ulrika Kolsrud: As you said, I've been 6 weeks into the job, so I'm still working on building my perspective on the business. I'm engaging with both external stakeholders as well as spending time out in the organization to shape my view and my perspective. Important for me to take the time to really enrich and challenge my initial thinking on what needs to be changed and prioritized and developed to realize and unlock the full potential of Essity. So I'm still in that process. Having said that, an advantage, of course, for me being in the executive management team for some years is that I've been able to be up and running operationally from day 1. And also one specific thing that I put a lot of focus on is that we should strengthen our customer and consumer focus further in the organization. That will also support speed and agility. When we are consistently delivering on and exceeding customer and consumer expectations, then a lot of other things fall in place.
Sandra Åberg: Thank you, Ulrika. Thank you, Niklas, for your questions. We will move on. Next question comes from Patrick Folan, Barclays.
Patrick Folan: Congrats again, Ulrika, on the appointment. So I guess starting first with maybe Health & Medical, you made comments on tougher markets like the U.K. And I guess if lower cost offerings are maybe gaining share, will that put pressure on pricing for you guys structurally? Or how are you guys addressing that? And then just staying within Health & Medical from a profitability perspective, are there any other cost pressures we should be aware of that you're seeing there?
Ulrika Kolsrud: I think as I was saying before, this is very market-by-market specific, and we continuously work with moving customers up the value ladder because we know that our offers are providing the lowest total cost for our customers. So when you think of, for example, the cost that you have for staff, the cost that you have for laundry and so on, it's important to have well-functioning products, and that is important for us to continue to market, and we do that across our markets. So that is our first strategy. Then, of course, selectively in order to gain volumes, we might adjust pricing, but that is very, very selectively, and it's from market to market.
Patrick Folan: Okay. Clear enough. And then on just the competitive dynamics, what is the promotional environment like in Europe? And how are you guys seeing that split between Tissue and Baby Care? Because I guess the question is just on continued volume performance, which obviously ex the Baby Care segment, Consumer is quite strong. So how should we think about that in the second half? Does the environment look quite supportive for continued volume growth?
Ulrika Kolsrud: Well, there is a high promotional pressure as it normally is in those categories, and that continues to be the case. It's also so that the lower mid-tier segments, including private label, is gaining some ground under those economic environment that we're in. Anything you want to build on that, Fredrik?
Fredrik Rystedt: Yes. Not -- I think your question is quite wide, Patrick. It's basically on all retail. It's a bit different. So if you look at promotional activity within Consumer Tissue, it's actually quite normal. And if you look at the sequential pricing for us as a group, it was actually positive. So again, price promotion, it comes in very much into price. So that doesn't indicate a very aggressive promotional activity in the European community. However, it's very different when it comes to Baby. There, we have seen, and you mentioned it earlier, Ulrika, that part of the -- you can say the cause or root cause for our quite low volume or volume decline is very aggressive price promotion from our competition. So for the time being, Baby is promotionally heavy. Whether that will continue as we go forward, really difficult to say, Patrick. But -- and when it comes to Feminine and Incontinence, I think the situation is quite normal.
Sandra Åberg: Thank you, Patrick, for your question. We will move on to Celine Pannuti, JPMorgan.
Celine Pannuti: Congrats, Ulrika, on your nomination. So my first question, can we talk about Professional Hygiene? So we have seen weakness in volume now for 2 quarters in a row, and you mentioned the HoReCa channel being complicated. Am I right to assume that, that volume pressure should linger into the coming quarters? And could you talk about your -- specifically your comment about selective pricing? Because the pricing has remained quite good in that category, so are we expecting really at the edge that pricing decelerates or should we think about that in a more meaningful way? That's my first question.
Ulrika Kolsrud: Yes. I think when we talk about the hotel and restaurant sector, of course, it's very difficult for us to anticipate how that will develop in the coming quarters. This is an effect of the global market environment and the uncertainty that we see in the world. So that is not something that we can speculate in. What we make sure to do is, of course, to plan for different scenarios. So when the market is turning, we will be prepared for making -- leverage that in the best possible way. And when we are in the current market situation, we're also making sure that we then have the right offers and that we are putting additional efforts in sales activities together with our main distributors. So we are dealing with that ambiguity in our daily operations. When it comes to pricing, what I was conveying there was that we will continue to be very disciplined when it comes to pricing. However, there will be some selective adjustments. And this is, again, very selective.
Celine Pannuti: So does it mean that the pricing for the tariff costs cannot be put through to customers given the current environment?
Fredrik Rystedt: I can maybe comment, Celine, just on so far, if I put it that way. Actually, it's interesting because the tariff impact, and I mentioned it earlier, you may remember that it was actually about 60 basis points, so 0.6%, quite significant for PA. But it's actually not U.S. tariffs, which is a bit perhaps surprising. It mainly relates to Canadian tariffs. So what we actually do there is we manufacture in our manufacturing sites in the U.S. and then we sell volumes to the Canadian market. And since the Canada, as should I use the word perhaps retaliation, have instigated tariffs, that's actually where we have most of the impact when it comes to PH. Now obviously, the people we actually compete with in Canada is -- are in Canada and don't have that impact. So it has so far at least been difficult to compensate that PH tariff impact.
Celine Pannuti: Right. My second question, if we go back to Consumer Tissue. So you're mentioning that there is probably more demand at the low to the bottom end of the range. So I was wondering whether how -- if you can talk about your profitability level in these products versus the average of the Consumer Tissue? And if you could as well share your high-level thoughts on the consolidation in the market with Suzano coming into the market with the joint venture -- JV deal with Kimberly-Clark?
Ulrika Kolsrud: If I start with the JV then and then Fredrik can comment on the profit margins. With the JV that we have seen announced now, we don't see any immediate impact on Essity. Of course, we are used to fierce competition, and we will continue to execute on our winning strategy where we build our brands and we deliver relevant innovation, and we make sure that we have a best-in-class supply chain. So that does not change for us.
Fredrik Rystedt: Yes, I can take the first question. So as you know, Celine, we're in all segments basically. So if you look at the private label part, we do have a business there. And we, of course, have in the more higher-end branded and everything in there between. So generally, when you look at profitability, if you look 5 years back, the private label business was actually not very profitable. We have developed that. As we separated that business, you may recall, profitability has actually come up quite a lot. We have become much more efficient and profitability is clearly good there. We do have a better overall return and profitability for the high-end branded and of course, slightly lower for the lower parts. But it's not super big. So in a way, it's also profitable for us to actually grow in the mid- to low end. We would prefer to grow in the very branded end of the market. But of course, we also gain from growth in the mid to low end.
Sandra Åberg: Yes. Thank you for your question. We will move down the list. Next question comes from Linus Larsson from SEB.
Linus Larsson: I'd like to come back to Health & Medical and the profitability. And I wonder if we could spend maybe a minute or 2 on this negative margin development that we've seen year-on-year? EBITA margin was down 3.2 percentage points. So if you could shed a bit more light on that and potentially some thoughts on the future there as well. What is driving this? And how may this change going forward, please?
Ulrika Kolsrud: If we start with the Incontinence Care part of the business, you may remember then going back that, of course, when we had these massive cost increases and input costs some while back, it took us a while because of the customer and market dynamics that we have being in a regulated market in Incontinence Care Health Care to compensate with price. Over time then, we compensated with price. And then, of course, as the market on the input costs were stabilizing, then we had a bit higher price than that in a period of time, and that is exactly what we're comparing now with year-over-year. Now that has stabilized. So we are on healthy margins in Incontinence Care, but on stabilized margins. Then when it comes to Medical, it's a lot about volume growth. So here, we need quite some volume growth in order to have the scale effect, and that is what we focus on further accelerating volume growth.
Linus Larsson: Okay. Great. And then maybe linking that last part on to what I think you said about A&P already. But -- and then maybe for the group as a whole, I guess, what exactly are you guiding for on A&P in terms of as a share of sales or in total numbers?
Fredrik Rystedt: Yes, Linus, we -- it's always difficult to say exactly. But as I said, we are guiding for higher A&P in absolute terms and also higher than we've seen in terms of percentage of sales. It's not going to be material. It's going to be 10, 20 basis points, I can't really say exactly, but it's going to be up. So -- and if you look at the perhaps longer perspective, our absolute firm belief is that investing in A&P is actually very profitable. It drives obviously net sales growth, but it also does drive profit growth. So we do expect A&P over time to grow. But in the near term, slightly up.
Sandra Åberg: Thank you, Linus, for your question. We have to move down because we have lots of people that want to ask questions. So next caller is Charles Eden from UBS.
Charles Eden: Two questions from me, please. My first one is on Professional Hygiene. You've obviously gone through restructuring in this division over the last sort of 12, 18 months with the intention of improving profitability and returns. In hindsight, do you still think that that's playing out as you planned or expected or perhaps does the operating deleverage from the loss of these volumes being more pronounced than you'd expected? And then maybe linked to this, could you also discuss the dynamics in the North American market? Do you believe it's a market volume issue or more entity specific? And what I guess I'm asking is restructuring aside, do you believe you're losing volume share to KC Professional, Georgia-Pacific, P&G Professional, whoever, in that market or not? And then my second question, Fredrik, is one I often ask. But just on the sort of SEK 679 million COGS headwind, can you just help us with the split between raw materials, energy costs and distribution? Obviously, I see the positive contribution from cost savings of SEK 112 million. And obviously, you appreciate the sequential commentary on COGS. But can you just confirm that this should also turn to a year-on-year tailwind in the EBITA bridge from Q3?
Ulrika Kolsrud: That was many questions. You might need to help us, Sandra, to sort them out. But if I start with the Professional Hygiene one, there -- I think I alluded to that before that, of course, there is a big part of this that is about the market development. When Americans are not that much out in restaurants and hotels and so on, then, of course, that has a direct impact on us. As I also said, we have had some customer losses. We've also had some customer wins. So -- and we don't measure neither in Incontinence Care Health Care nor in Professional Hygiene, we measure market share on a very short time perspective. We measure that more over time. So it's difficult to say what is what. But I would dare to say that the big -- the majority of this is about the market development. From a strategic perspective, I would say that the work that we did to restructure the Professional Hygiene business and focus more on our strategic segments has played out very well. We see that in the growth of our strategic segments. So that has been done well from that perspective. I don't know if you want to add anything to that, Fredrik. And then I think the next question was for you.
Fredrik Rystedt: Yes, I can -- no, I think you said it, Ulrika. But maybe, Charles, just to say that it's -- I don't think it's an operating leverage issue. It's not that, so I think the restructuring has played out pretty much exactly as we did plan. You mentioned did we lose against KC Professional or GP or those? I think the answer is no because -- and again, I just don't have that market data, so I'm guessing a bit. But the reason I'm saying that is that the losses have appeared in the core or base assortment in the lower end. And as a consequence, that's not really where we play a lot, and that's not where KC and the others play. So from that perspective, this is more the low end actually being price aggressive, I think, it's fair to say. Then I think your question on COGS, I've already forgotten it, but I think one of the questions you actually asked was are we going to have a tailwind also when it comes to year-on-year? And I can confirm that is the case. So somewhat lower also year-on-year. I think your middle question there was about raw material, right? Was that...
Charles Eden: Sorry, do you want me to clarify? It was just on the split of that SEK 679 million headwind, obviously, SEK 112 million positive cost savings, but I guess, offsetting that by, what is it, SEK 800 million headwinds between raw mats, energy and distribution. Can you just help us the split between those 3 and that SEK 800 million?
Fredrik Rystedt: Yes. Give you all of that is perhaps not necessary. But if you look at the SEK 679 million, then the absolute biggest part by far is raw material. That's SEK 413 million to be very exact. And then I mentioned a number of others, so SEK 112 million was savings, but we had SEK 178 million for distribution as an example. So there are many, many different items there. But as I said, SEK 679 million, the absolute majority is in raw material of SEK 413 million to be exact.
Sandra Åberg: Thank you, Charles, for your questions. Now David Hayes from Jefferies. What's your question top of mind today?
David Hayes: Top of mind is just a quick one, I think quite detailed. Just on the SEK cost versus the SEK sales, you mentioned earlier about sort of the deleverage effects on FX. Just wonder if you can give us those numbers, how much of costs are in SEK? I assume sales is relatively small. And then on the -- just in terms of the input cost discussion and the sequential references, is that all underlying cost or does that include the currency effects in terms of SEK versus dollar? And I guess related to that, can you give us a sense of how much raw materials are dollar derived, just to get a sense of what kind of offset you get in terms of the SEK-dollar move in recent times?
Fredrik Rystedt: Yes. If I start -- I don't -- actually I didn't understand the first question. But the second question, if that was in absolute terms. So when I said somewhat lower, that is actually related to the absolute amount, including currency impact. I mean the main item is actually what we buy is pulp. We buy that in U.S. dollars. So we have a positive impact in that. If you look at this quarter, than Q2 versus last year, we had a very positive pulp impact. But on the other hand, we had a negative FX impact when we bought other material, but the net impact was positive. If you look at the next quarter, we expect it to be year-on-year slightly positive, less, but still positive.
David Hayes: And the first question was just in terms of the difference between if SEK sales are 5%, let's say, the cost base is at 20% of your cost base is SEK...
Fredrik Rystedt: Yes, but you're talking about transaction now. So the transactional impact, I guess, right?
David Hayes: Exactly, yes.
Fredrik Rystedt: And the absolute majority of those transactional impact is exactly what I just mentioned. It's within the purchases of our raw material. We have a little bit of like IP and innovation and all of that. So we have a little bit of actual cost in Sweden, as an example. We also have it in Germany and in the United States. So I think you can -- for the sake of simplicity, what you can do is look at the impact only in COGS. I think the rest is smaller from a transactional sense.
Sandra Åberg: Thank you, David. So now we have a question from Tom Sykes, Deutsche Bank.
Tom Sykes: Yes. Just wanted to explore the SG&A comments a little bit, please. So can you at all say which divisions saw the highest increase in SG&A? And when you talk about generating SG&A efficiencies, are you talking about, I mean, reducing the sales headcount that you've put in or are you talking about finding some efficiencies elsewhere? Because my understanding was that the IT and digital will still have to go up or is still planned to go up in '26. You've obviously put a lot of salespeople in, but are you already taking salespeople that you took out -- or taking out salespeople that you put in, sorry? If you could maybe explore that. And then just on the...
Sandra Åberg: We can answer that question first, Tom.
Ulrika Kolsrud: Yes. So I will start with the questions here on cost savings and cost reduction. So first, I mean, the background is, of course, that we are doing a lot of different initiatives across the company to improve our efficiency, to generate sales, as you were alluding to, and also to serve our customers and consumers in the best possible way. And from that, we are increasing our SG&A costs, not the least in IT. And also we have the salary inflation component, which is quite big. And this is not specific to any business unit or any part of the value chain. It's something that we see across the organization that we are having a lot of initiatives to improve, for example, in digital systems and so on. So not specific. When it comes to taking measures to reduce our cost levels, we do have to be a bit specific. Of course, it is about reducing costs across the business and also in many parts of the value chain. But to your point, I mean, our first priority is to accelerate volume growth. So we do not want to do anything that has a direct impact on sales. So of course, also in a sales force, you can become more efficient, but it's not about reducing any salespeople.
Fredrik Rystedt: And maybe just to add there, you asked about whether we had any significant differences? And we don't actually. If you look across our 3 business areas, you'd find it to be roughly evenly spread the increase. So it's actually planned increases for all.
Tom Sykes: Okay. And then just on the Professional business, in -- how much of the growth historically was driven by the restaurant sector in North America because that's fundamentally changed in terms of the number of people going into restaurants and eating versus eating at home? And from what it seems like in your results, if people eat at home, they clearly use less of your product than if they were eating in a restaurant or at least lower value items. So if that's fundamentally changed, do you think your cost base is now rightsized for that fundamental change?
Fredrik Rystedt: Yes, I can start. It's a good question, Tom, because if you look at HoReCa as a total segment for the group is roughly about 40%. But if you look at it in the United States, it's actually slightly bigger, so about 50%. Exactly the distribution between hotels, restaurants and catering, I actually -- we don't think we've actually shared that. So -- but obviously, restaurant is a big part of the business there. And whether it's a structural or permanent change you're alluding to, it's perhaps, in our view, a bit premature to come to that conclusion. But clearly, of course, we need to make sure that we're competitive from a cost perspective. But yes, it's difficult to comment more than that.
Sandra Åberg: Thank you, Tom. Then we have a question from Mikheil from BNP Paribas.
Mikheil Omanadze: I have one on the top line. Now you made different comments with regards to your ambitions on the volume side in different businesses as well as on pricing. But just from the overall group perspective, and I don't -- I know you don't guide on the top line. But if we think directionally, do you expect volumes to sequentially -- volume growth to sequentially pick up in Q3 versus Q2 and in Q4 versus Q3 at the group level? And also, do you think that you will be able to achieve positive price/mix in Q3 and Q4 year-on-year?
Fredrik Rystedt: Sequentially, in terms of volume, is that what you're asking, I guess, because it's really difficult to actually give you those. And to be -- I mean, first of all, we don't comment on volume. I can only refer to our long-term, obviously, net sales growth or organic sales growth, the target of more than 3%. So this is normally what we do. And of course, commenting volume numbers for individual quarters is incredibly difficult. So I'll refrain to do that. But just out of -- just more for clarity, Q1 and Q4 are normally weak in terms of volume or weak -- I shouldn't say weak, but lower than Q2 and Q3. So Q2 and in particularly Q3 is normally a bit stronger. So if you look at volume growth sequentially between Q1 and Q2, just using that as an example, we're actually up by 2.6%. And so you clearly see that what I was just alluding to. And Q3 is normally slightly stronger, but it's very difficult to comment on. So we don't do that, as you know, give those kind of detailed comments.
Mikheil Omanadze: And on pricing?
Sandra Åberg: Maybe -- okay, you have a follow-up on pricing because you've commented on the lower volumes.
Fredrik Rystedt: Yes. You're talking about the pricing looking forward in the next few quarters. Yes, I mean, again, we don't comment on that, obviously. We always strive for good price management. We have provided here some comments related to selective price action in terms of Professional Hygiene and some other comments. But generally, as an outlook for pricing, we don't provide, of course, as you know.
Sandra Åberg: Thank you, Mikheil. Now in the interest of time, I see that we have Oskar Lindstrom from Danske Bank also wanting to ask a question. And can you keep to 1 question because we have only 2 or 3 more minutes. So if you have 1 question, we could take that and then we have to wrap up, unfortunately.
Oskar Lindström: Certainly. On costs, we've talked quite a lot about today. You mentioned that COGS will be somewhat lower in Q3 than in Q2. But at the same time, you also say that A&P costs will be higher, both absolute and relative. Now where should we expect sort of total costs to come out in the balance of these 2?
Fredrik Rystedt: Yes. I'm not -- I'm going to refrain from commenting that, Oskar. I don't actually have the exact detailed numbers because it's both -- you're right, SG&A is expected to be flat, A&P a bit up and COGS. So the overall -- yes, it's a good question. I won't comment. I think -- I hope that they will balance out roughly, but hopefully, COGS will be down a little bit more than A&P is up. But I don't actually have the exact detail.
Sandra Åberg: Thank you for keeping to one question, Oskar. Well, now it's time to wrap up before we close. Any closing remarks from you, Ulrika?
Ulrika Kolsrud: Yes. Thank you, Sandra, and thank you for joining us. As we close this quarter, I look forward to working with the organization to accelerate profitable growth. And to reiterate the priorities that we have now moving forward, we will continue to execute on our strategy with specific focus on taking measures to reduce our cost level and to accelerate volume growth. And then over time, I aim to come back to you to share more about our strategic bets for the future. Thank you.
Sandra Åberg: Thank you, Ulrika, and thank you, Fredrik. Thank you for watching this webcast. If you have any further questions or would like to meet, please don't hesitate to reach out. Then I wish you a good rest of the day.